Operator: Good day, ladies and gentlemen, and welcome to the Littelfuse Inc. Fourth Quarter 2011 Conference Call. Today's call is being recorded. At this time, I will turn the conference over to Chairman, President and Chief Executive Officer, Mr. Gordon Hunter. Please go ahead, sir. 
Gordon Hunter: Thank you and good morning, and welcome to the Littelfuse Fourth Quarter 2011 Conference Call. Joining me today is Phil Franklin, our Vice President of Operations Support and Chief Financial Officer.
 As you saw in the news release, our fourth quarter sales and earnings came in above the middle of the range we stated on our last call. These increases were driven by our Automotive and Electrical businesses, which performed very well. However, as we anticipated, the fourth quarter was challenging for the Electronics business due to the inventory correction in the distribution channel as reflected in the 16% decline in electronics sales for the quarter. In spite of a soft fourth quarter, the full year of 2011 was another excellent year for Littelfuse.
 Sales, earnings and cash flow all set new records for the second consecutive year. A number of factors contributed to the record performance. Our operating structure continues to provide greater efficiency at a lower cost. We saw increased sales of existing products and also introduced a number of innovative new products that leverage our expertise and provide solutions for our customers' circuit protection, safety and electrical challenges. And we made 2 strategic acquisitions that expand our automotive and electrical capabilities and provide additional opportunities for future growth.
 I'm going to cover both the fourth quarter and the full year in more detail in a few minutes. But first, I'll turn the call over to Phil Franklin, who will give the Safe Harbor statement and a brief summary of the news release. 
Philip Franklin: Thank you, Gordon, and good morning, everyone. Before we proceed, let me remind everyone that comments made during this call include forward-looking statements based on the environment as we currently see it, and as such, do include various risks and uncertainties. Please refer to our press release and SEC filings for more information on the specific risk factors that may cause actual results to differ materially from those expressed in forward-looking statements.
 Sales for the fourth quarter of 2011 were $147 million, which was up 3% year-over-year due to continued organic growth in the electrical and automotive businesses, acquisitions of Cole Hersee and Selco, partially offset by lower electronic sales. Fourth quarter sales, excluding Cole Hersee and Selco, declined 6% year-over-year. GAAP earnings for the fourth quarter were $0.70 per diluted share, down from $0.88 in the fourth quarter of 2010. The decline in earnings reflects lower sales and production volumes in the base business, coupled with higher commodity prices. Non-GAAP earnings of $0.67 per share were consistent with our guidance of $0.60 to $0.70. We had another strong cash flow performance in the fourth quarter, with cash from operating activities coming at $36.8 million.
 For the full year, as Gordon said, we set records for all key financial metrics. Sales of $665 million were up 9% year-over-year, a strong organic growth in the electrical and automotive businesses and the addition of Cole Hersee and Selco more than offset a 5% decline in the Electronics business. Full-year GAAP earnings of $3.90 were up 11% from the prior year. Cash from operating activities of $121 million was up 15% year-over-year, and for the first time, free cash flow exceeded $100 million.
 Now I'll turn it back to Gordon for some color on market trends and business performance. 
Gordon Hunter: Thanks, Phil. Now let's move on to the review of our 3 business units, starting with automotive. This business contributed approximately 30% of total Littelfuse sales in 2011. This was a record year for our Automotive business, the second in a row, in fact. 2011 sales of $197.6 million increased 42% over 2010 sales. Excluding Cole Hersee, which we acquired in December 2010, the strong 2011 performance put us about 8% above last year's record sales of $139.1 million. Fourth quarter automotive sales of $45.6 million were up 37% year-over-year. Excluding Cole Hersee, automotive sales were up more than 4% over last year's fourth quarter.
 The continuing increases in demand in both Asia and the United States were the primary drivers behind the fourth quarter sales increases. The fourth quarter automotive sales were down about 4% from the third quarter, and this is typical for this business as comp production slows down over the Christmas vacation periods and new models are in the ramp-up phase. 
 Our strongest geographic area was China, where we achieved a double-digit increase in fourth quarter sales compared to both the third quarter of 2011 and the fourth quarter of last year. This was mainly driven by increased comp production in preparation for strong September to December car sales that typically occur before the Chinese New Year.
 During the fourth quarter, we focused on strengthening strategic partnerships with our leading Tier 1 customers in the hybrid electric vehicle market. Last quarter, we presented our new high-performing fuse for the HEV market that now delivered samples to all of our major partners involved in green car initiatives. The feedback from them and OEMs on our technology approach and solution has been very positive, and we're now in the system test phase as specifications in this relatively new segment are changing fast and there's currently no global standard. 
 This new product line is an excellent example of our industry-leading circuit protection expertise that puts us in a very good position to take a leadership role in the future of the electrical vehicle segment. Building on our success at signing long-term agreements, we won another multi-year contract with a well-established Tier 1 supplier in the fourth quarter. This win was for our bolt-down high-current fuses, which will be used in the PSA Peugeot Citroen platform that launches in 2013. 
 We also won new business with a major supplier of lithium ion batteries out of South Korea for a French OEM that will launch its electric car this year. What's interesting about this application is that each battery cell sensor line will be protected by a very small, high-voltage fuse, which is placed in the battery pack. We signed a new strategic agreement with one of the top 5 local harness manufacturers in China. This company has been primarily using our competitor's product, so this is a nice incremental new business for us. We expect to see sales from this agreement beginning in the second half of the year --
 Looking ahead, global car production for the first quarter of 2012 is forecasted to be flat compared to the first quarter of 2011, where we had double-digit growth. Inventory levels have reached the target level and most OEMs are cautious about increases much beyond that. For the full year, LMC, which recently bought J.D. Power and Associates, has reduced its estimate of global comp production growth to 5.3%, which will be approximately 80 million vehicles. This is down from their 7.4% estimate at the end of the third quarter.
 Last week, J.D. Power announced that the market outlook of 80 million vehicles in 2012 is expected to increase to 100 million vehicles by 2015. Although the Japanese car manufacturers, with whom we don't have a lot of business, will be a significant part of the recovery and growth in 2012, we expect the majority of our growth to come from the local Chinese and U.S. OEMs. Europe, at the moment, is forecasted to have negative 3% growth. With our new products, new business wins and strong customer relationships, we believe we will continue to outperform the market.
 Moving on to our Commercial Vehicle products. The major end markets for this business in North America were relatively flat for the fourth quarter compared to the third quarter. North American construction equipment was up about 3% from the third quarter to the fourth. Agriculture and farm equipment production was flat for the fourth quarter compared to the third quarter, and down about 5% from the fourth quarter of 2010. The Heavy Truck market in North America was the bright spot, finishing up a very significant 58% for the year.
 Littelfuse Commercial Vehicle product sales were down about 8% in the fourth quarter compared to the third. This is historically a normal trend for North America, with fewer shipping days due to the Thanksgiving holiday, as well as the shutdown for the last week of December. And in addition, our heavy-duty aftermarket customers typically purchase fewer products in the fourth quarter, and that was again the case this year.
 For the full year, our CVP business saw a solid growth compared to 2010. The acquired Cole Hersee business and the Littelfuse Off-Road Truck & Bus business both saw sales increases between 5% and 6% for the year. Our largest customer in the CVP segment is Caterpillar, which outperformed the market in 2011. Our sales to Caterpillar are up 25% in 2011 compared to 2010.
 The integration of Cole Hersee into Littelfuse continues to go very well. Delivery performance has steadily improved throughout the year and we also improved our lead times in inventory position. These improvements contributed to increases in both sales and profitability that were ahead of our plan for the year. The next step in the process is converting Cole Hersee to the Littelfuse SAP system, which is already underway.
 You may recall our discussion last quarter about a new business win for a Cole Hersee Master Disconnect Switch with Sanei in China for a new excavator program. During the fourth quarter, this application extended to other vehicle programs at Sanei beginning with the new concrete pump vehicle. 
 Sanei is a very strategic customer for us. With annual revenues of approximately $8 billion, Sanei is the largest construction equipment manufacturer in China and the seventh largest worldwide. It's product line includes excavators, concrete pump trucks, crawlers, cranes and motor graders. Sanei has 2 manufacturing facilities in Asia and recently opened 2 new production facilities, one in Germany and one in North America in the Atlanta area, and the company has about 70,000 employees worldwide.
 Another fourth quarter win was new design in business for a high-current pre-fusebox with Leyland Trucks in Europe. This program will start production in 2013 and should contribute over $300,000 in annual sales once peak production ramps up. We also achieved our first CAN protocol multiplex module design win, with the major North American agriculture equipment manufacturer. Production is scheduled for 2014. If you're unfamiliar with CAN, it's an automotive communication protocol that enables electronic control modules supplied by different manufacturers to communicate and function together inside a vehicle.
 Looking at our plans for 2012, we anticipate that our Commercial Vehicle Product sales will be up about 7% in 2012 over 2011 with strong growth in both North America and China. We plan to further penetrate the China construction equipment market by adding Cole Hersee products to our inventory and our distribution centers that support the local market.
 In North America, we will see increase of sales from the ramp-up of design wins for our FLEC, flexible electrical center and FlexMod modules that we won earlier in 2011. FlexMod is a new Cole Hersee electronic programmable switch module that was launched in 2011 and is starting to gain momentum. During the year, we won several small new programs at fleet customers, as well as at some OEMs, where FlexMod is managing a variety of timed or conditional switch applications.
 In conclusion, our automotive business is very healthy and is strong in all geographies. The addition of Cole Hersee provides a solid platform for growing the Commercial Vehicle Products business. Our Core Automotive business continues to develop exciting new products and to benefit from well-established customer relationships across the globe. As a result of all these factor, our automotive business unit is on track for continued growth.
 Now let's move on to the Electrical business unit, which accounted for 17% of total Littelfuse sales in 2011. Fourth quarter electrical sales were $29.1 million, a 27% increase from the fourth quarter of 2010. For the full year, electrical sales were $112.9 million, an 18% increase from the prior year. Excluding Selco, the Danish Protection relay and engine control products company we acquired in August, electrical sales were up 17% for the fourth quarter and 15% for the year.
 Sales of protection relays and custom electrical products continue to drive the overall increase in electrical sales, although we are encouraged by the improvement we saw in our base fuse business in the fourth quarter. Sales for the electrical fuse business were up 11% in the fourth quarter and 2% for the full year. The slowdown in the solar market impacted our fuse sales for most of the year, primarily in Europe. Several very large European solar OEMs simply stopped buying products because of the glut of inventory in the pipeline. And after being down for 3 consecutive quarters, we are pleased to see the uptick in solar activity in the fourth quarter.
 We're optimistic that this trend will continue in 2012 and we'll see a good recovery in our Solar products business. Several factors support this: excess inventory is being reduced, which should result in a more typical demand pattern going forward. And in addition, we expect to benefit from the growth of the solar market overall and an increase in our market share, resulting from the new products we introduced in 2011. One of these new products is our series of high-efficiency, 1,000-volt string and array fuses, which have outperformed the competition in many comparisons being conducted by industry-leading inverter manufacturers. This is giving us preferred supply of status [ph] on many new designs that will drive our growth in the Solar market in 2012.
 Another example of the growing momentum for the new fuse array line is a win with a long-standing customer of ours that started a new product design for a solar central inverter. We met their very aggressive release-to-market schedule, generating sales of about $140,000 in December alone. Our fourth quarter fuse sales also benefited from the continued overall strength of the industrial market. 
 We saw a strong demand with both our industrial MRO and OEM customers in sectors including irrigation and lighting. This strength helped to compensate for the commercial construction side of our business, which remains at historic lows. However, indications are that there may be a slight improvement in the construction market in 2012, which would be welcome news as this market has historically represented a significant amount of our demand in the U.S.
 With the new products, continued growth in the industrial market and a rebound in solar products, we anticipate an even better year for the base fuse business in 2012. Our electrical business also includes Protection Relays and custom electrical products. Sales of these product lines increased 46% in the fourth quarter and were up 41% for the full year compared to the same periods in 2010. 
 The increases reflect our continued focus on growth markets, particularly, Canada's mining industry, another key international markets. Mining is the primary end market for both product lines. The domestic and international mining industries remain strong in the fourth quarter, driven by the rising cost of precious metals. The outlook for Mining in emerging markets remains robust.
 Some of our largest customers are the Canadian potash mining companies. The global demand for potash remains strong. This is due, in part, to rising prices for crops that are heavy users of potash fertilizer, such as grains, oilseeds and other commodities. Metal prices are also expected to stay strong in 2012 and this positive trend will support the continued investment in electrical equipment, therefore, creating demand for our products. 
 One region that is expected to grow substantial is Latin America, where the Mining Project portfolio is expected to require an investment of over $200 billion over the next 10 years. The region also remains the top destination for exploration, spending for gold and other metals. We expect to see continued growth from this region, as well as from other international markets where we've invested in building a presence over the past year, including Asia and Europe.
 We also expect to see continued growth in our Protection Relays in the North American industrial base as customers begin to adopt our new Arc-Flash Protection Relay that we introduced in the second quarter. We're also receiving a very positive response in other geographic regions. Our recent example is a large global mining company, which ordered Arc-Flash Protection Relays for one of their mines in Ecuador. This was the first order for our new Arc-Flash Relay from this company and our first sale to Ecuador, a country with several large projects in the early planning stages. 
 We had several other good wins for our Relay products during the fourth quarter. In the U.S., a leading coal mine installed our newest ground fault relays to one of its underground coal mines. The customer is very pleased with the product and will be specifying it for an additional 17 underground sub-stations.
 We're helping a large mine in the southwestern part of the U.S. that was forced by the Mine Safety and Health Administration to improve protection on their equipment. The mining company purchased a number of our ground fault relays in the fourth quarter and we expect additional sales in 2012. Several other mines in the area are also experiencing the same regional push from the MSHA and have already begun talking with us.
 Outside of the mining area, we won new business with a world-class generator manufacturer, that includes our Ground Fault protection on units for select applications and environments. As we look ahead, our electrical business is positioned for growth in all 3 product areas. The base fuse business will be driven by the Industrial segment and the anticipated improvement in the Solar segment, while our Protection Relays and custom electrical products would benefit from the continued growth of the Mining industry, expansion into international markets and increased sales of the new Arc-Flash Relay.
 Part of the recent success of our both electronic -- automotive and electrical businesses is strategic acquisitions that provide a platform for future growth. On the automotive side, the acquisition of Cole Hersee gives us a strong foothold in the Commercial Vehicle Products business. And in the Electrical business, the acquisition of Startco 3 years ago enabled us to enter the highly successful custom electrical products and Protection Relay markets, and we further expanded this product line with the Selco acquisition this year. The acquisitions, combined with our ongoing investments in new product development, provide many opportunities for further growth for both of these businesses.
 Now let's focus on the other half of our total sales of Electronics business. In our call last quarter, we said we were anticipating a sequential decrease in sales from the third quarter of about 25%, primarily due to inventory reductions in the distribution channel, along with the normal seasonal decline.
 Our estimates were on target. Fourth quarter Electronic sales were $72.5 million, a decline of 25% sequentially from the third quarter, and a decline of 16% year-over-year. Our channel inventories were down significantly at the end of the fourth quarter, resulting from a pullback by channel partners when the market conditions softened. So while sales from our channels to end customers were down 15%, the amount of our product distribution channel partners purchased from Littelfuse was down 25%, therefore reducing inventories at the distribution level.
 For the full year, Electronics sales of $354.5 million were down 5% from 2010, which was a very strong year that was enhanced by channel inventory replenishment. Business conditions stayed very positive during the first half of the year, and started softening in the August time frame. Clearly, concerns about the European region, as well as slowing in the emerging regions like China, had an impact on the global economy. And with the significant reduction in channel inventories in the fourth quarter, we believe the worst of the inventory correction is behind us and inventories will likely reach equilibrium during the first quarter.
 Orders have already begun to improve, which makes us optimistic that sales will begin to increase in the latter part of the first quarter, consistent with the normal seasonal pattern.
 Looking at some of the key Electronics markets, global personal computer sales were down about 1.4% in the fourth quarter, driven by saturation in the mature markets, as well as supply chain disruptions for hard disk drives due to the flooding in Thailand. Part of this decline is also a result of the netbook market losing ground to the popular tablets and eReaders. Netbook sales were about 12% of the total PC sales in 2011. PC companies are now trying to recover ground with their new ultrabooks. 
 We've talked about the growing ultrabook category before, but to summarize, these devices are thinner, lighter, faster and more portable than traditional laptops. Ultrabooks also have more features than the lower-priced netbooks. Like the rest of the PC business, the primary design work for ultrabooks is performed in Taiwan by the same OEMs and ODMs who are the main laptop manufacturers. The Littelfuse team in Taiwan has good penetration into these accounts and we have a number of design wins for both fuses and TVS diodes at companies including Wistron, Quanta and Compal. So as shipments move from laptops and netbooks to ultrabooks, we are well positioned to capture the business.
 We've talked, on several prior calls, about the fast-paced growth of the tablet and eReader markets worldwide. A recent report from Pure Research indicated that the percentage of adults in the U.S. who own a tablet or eReader grew from about 10% to 19% following the holiday season. Similar demand exists in other global markets.
 We have well-established relationships with many of the leading companies in the tablet and eReader market, including Apple and Samsung. We have a variety of products in these devices, providing over-current protection in charges, battery packs and internal inverter circuits, as well as ESD Protection for the ports and systems. Our sales into this market were approximately $3.5 million in 2011. We also had a number of good design wins during the year that should add another $6 million of revenue in 2012.
 TV sales were sluggish throughout 2011, as the conversion to flatscreen, LCD and plasma sets slowed in mature markets, such as North America and Europe. However, the sharp drop in prices on larger-size TVs, greater than 40 inches, is expected to invigorate the market. Display Search is estimating a 5% to 8% increase in TV unit volume growth in 2012. And while there will be a shift from the sales of smaller-sized TVs to larger sizes, we still expect to benefit from this market growth.
 Once again, Littelfuse is well positioned to providing circuit protection solutions to the leading companies, such as Samsung, LG, Panasonic and Sony. With the general slowdown in electronics worldwide, we saw a sharp drop in the overall power supply market in Asia. Many consumer electronics manufacturers outsource their power supply demand to companies like Delta and Amazon. We have a very strong presence with these companies, so as market conditions improve, so will our revenues in this segment.
 In addition to the impact of market conditions, our sales throughout 2011 were also affected by the earthquake in Japan and its aftermath. On prior calls, we indicated the impacts from the crisis would be about $1.5 million per quarter, which has turned out to be an accurate assessment. However, several other factors have further reduced our Japanese business. 
 While the Japanese consumer electronics suppliers have started to rebuild their damaged factories and other facilities, they've been hurt by the strong yen, which has impacted their exports. At the same time, these companies have also been affected by the floods in Thailand, where many of them have factories. As a result, Littelfuse sales to these Japanese companies were down from prior years. We expect to see a continuation of these weak conditions in the year ahead, which will keep revenues flat at the lower level.
 Moving on to new products. In 2011, we introduced a number of new fuses that are designed to meet customer needs for higher energy circuit protection in a smaller fuse package. During the fourth quarter, we introduced a new fuse mounting clip family of products through our 5x20 high-power fuses. These fuses and clips are quite specialized as they handle high voltages of 450 to 600 volts and high currents of 15 to 20 amps. They're used for a wide range of industrial and consumer product applications, including power supplies, inverters in LCD backlight units, white goods, fluorescent lighting, power supply systems and other high-energy applications. 
 Our 3.6x10 cartridge fuse, which is the smallest form factor in the market, continues to generate some very nice new business wins. This product has been designed into the latest LED TV models at LG and is also being designed into the charger for the Samsung Galaxy tablet. Together, both wins will add about $350,000 annually to our electronic sales.
 Another tablet win was with the Taiwanese ODM for the NEC tablet, where our chip fuse has been design win. This win will add another $150,000 to annual sales. The LED lighting market also continues to gain momentum, providing more opportunities for Littelfuse products. The growth in this market is driven by government regulations, such as a potential ban on the sale of incandescent bulbs of 100 watts and over in the U.S. and also, the tremendous energy and maintenance cost savings of LED lighting and continued decreases in LED lamp pricing. 
 We participate in 2 main types of LED lighting projects: retrofits and replacements. Retrofits are common in the consumer market and include swapping out incandescent lamps with LED versions of the same form factor. Companies like OSRAM Sylvania, GE, Philips Lighting, Lighting Science Group, Sharp and Samsung are all active in this space, and we have numerous wins for our AC line fuses, Metal Oxide Varistor and TVS diodes with these companies.
 Several of these lamps are now being sold by large retail chains, such as Home Depot and Costco. Commercial and outdoor lighting applications, such as highway and parking lot lights, typically require changing the entire fixture. This segment is expected to have a faster rate of adoption because the longevity of LED lights is 4x greater than that of existing, high-pressure sodium lamps while consuming 80% less energy. Littelfuse is engaged with a number of companies in this segment as well. We had sales of about $3 million into both the consumer and commercial lighting markets in 2011 and expect this to substantially increase in 2012 as the LED market continues to grow and unit prices continue to decline.
 To summarize, while we face some challenges during the last half of 2011, we continue to invest in new products and to win significant new business with many of the leading consumer electronics companies. Our base electronics business is solid and the overall outlook for our end markets is positive. We have a strong position as the global leader in circuit protection and are optimistic the business will pick up as we get further into the year.
 So that completes my review of the 3 business units. So to sum up the year, we delivered record revenues, earnings and cash flow. We expanded our Automotive and Electrical businesses with 2 successful acquisitions that broaden our product portfolio in markets with very good growth potential: Protection Relays and Commercial Vehicle Products. We invested $19 million in developing new products, such as our high-performing fuse for the hybrid electric vehicle market, the 1,000-volt DC string fuse line for the solar market and the 3.6x10 cartridge fuse line, which provides circuit protection for electronics that are increasingly smaller and lighter. We've grown geographically as well with an expanded presence in India, Russia, Poland and Brazil, to list a few.
 We also continue to move forward with implementing lean concepts across the business and have made some very successful process improvements that saved both time and money. Littelfuse is the global leader in circuit protection, and as you've heard today, we have excellent growth opportunities in all 3 of our businesses. Even more important, our financial strength enables us to pursue these opportunities for the benefits of our customers, shareholders and associates.
 Thank you. I'll now turn the call back to Phil, who will provide the outlook for the first quarter, then we'll open the call for questions. 
Philip Franklin: Thanks, Gordon. The following is our guidance for the first quarter of 2012. Sales are expected to be in the range of $148 million to $158 million and Earnings are expected to be in the range of $0.68 to $0.78 per diluted share. For the year 2012, capital spending is expected to be approximately $35 million. The increased spending, compared to the last 2 years, is primarily related to building expansions at our manufacturing sites in Canada, the Philippines and Mexico, in support of our growth initiatives. 
 This concludes our prepared remarks. Now we'd like to open it up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Josh Chan, Robert W. Baird. 
Joshua Chan: You guys talked in the press release about book-to-bill in the electronics business being significantly above 1 in the first quarter so far. Would you characterize that as being above normal seasonal patterns? Or is that something you would expect at this juncture of the year? 
Philip Franklin: I mean, it's probably a little bit higher than we would normally expect, but some of that is just due to the slow start to the year and the early Chinese New Year as well. So our shipments were probably lower than normal for the beginning of the year and our orders were probably -- were more than our shipments. But I wouldn't take a significantly above 1 book-to-bill necessarily to be something that's extraordinary on the upside. It's consistent with what we would expect, though, and consistent with shipments that should be improving as the quarter goes on. 
Joshua Chan: Okay. That makes sense. And then we switched over to the SG&A. Could you comment on the SG&A increase year-over-year? It seems like a fairly sizable increase, at least relative to the sales base. 
Philip Franklin: Yes. I think if you really dissect that, I think what you'll find is, we added 2 acquisitions. The Cole Hersee at the beginning of the year, Selco in the middle of the year. And if you take those 2 acquisitions out, I think SG&A only went up about 2% to 3% for the year. So most of the increase is related to the acquisitions that we added. And right now, SG&A for both of those businesses, as a percent of sales, is higher than we would ultimately expect it to be. As we further integrate those businesses, as we leverage the top line for those businesses, that SG&A percentage should come down. But -- for example, with Cole Hersee, we're right in the process, as Gordon said, of putting them up on SAP. So we're spending money to do that. As we get into the back half of this year, we'll have SAP up and running and we'll have some opportunities to streamline our SG&A but it's going to take a while to do that. 
Joshua Chan: Okay, that's great. And then last quarter, there was a comment about possibly growing earnings modestly in 2012. Is the headwind that you see in the first quarter potentially too large to overcome to hit that target for the full year? 
Philip Franklin: I don't think so. I mean, we're obviously starting out well below last year in the first quarter, but we are expecting things to bounce back. We -- as we said, we think the inventory correction is nearing an end and we expect to see that inventory come into equilibrium sometime over the next few months. And -- so we think there's certainly an opportunity to see our Electronics business come back to more normal levels in either the second or third quarter, and with some of the growth opportunities we have in the electrical business and also automotive, I think there's still a reasonable chance we could increase earnings year-over-year. 
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research. 
Shawn Harrison: Just wanted to follow up on the commentary that things seem pretty normal right now. Coming out of Chinese New Year, are you're seeing any better demand patterns or is it pretty much in line with what you'd expect? And any commentary on where you're seeing, maybe more of the inventories? Is it still an Asia problem or it's still -- is it European focused? 
Philip Franklin: I think the inventory problem has been kind of across the board. What's typical with that is that Asia usually adjust their inventory quicker. They usually carry less and they adjust quicker. The U.S. is usually slower to adjust. And so I would say, it's probably more in the U.S. and Europe, the amount that lingers at this point. But I think we certainly made a good dent in that inventory in the fourth quarter, and we're expecting it, as I said, to be in line as we come towards the end of the first quarter here.  And I would -- yes, I'd say it's a little bit too early to say, coming out of Chinese New Year, how do we feel about it. We don't see anything particularly unusual, but it's a little bit too early to make a call there. 
Shawn Harrison: Okay, that's helpful. And then there's a -- 2 brief follow-ups. The Commercial Vehicle Business, what is the sales run rate of that business right now? Then also, what is the tax rate expectation for both the March quarter and 2012? 
Philip Franklin: Yes. So the Cole Hersee business is -- I think it ran for the year at about a $46 million run rate. And as Gordon said, I think we -- we were expecting that to be a higher single-digit growth rate for 2012. So it should be somewhere in the $50 million run rate range. And regarding tax rate, we had an unusually low tax rate in 2011 for a number of reasons and we did have some favorable tax benefits that may not be reoccurring, probably won't be. We also had some pretty favorable mix of income skewed towards lower tax rate jurisdictions, particularly over in Asia. So I think for the -- at least, the first half of the year, I would expect tax rates to bounce back up to more typical rates, which are in the kind of the 28% range or so. I think as we've alluded to in prior calls, we're working on some things longer-term that we think could reduce the tax rate really down into the mid-20s but that probably isn't -- and we may start to see some of that in the back half of the year, but it's a little bit too early to make that call. So I've -- I would plan on a rate that's in the 28% range or so in the first half of the year and maybe, we'll inch down in the second half. But probably a conservative call would be to just assume 28% for the year. 
Operator: Your next question comes from the line of Anthony Kure with KeyBanc. 
Anthony Kure: Just wanted to clarify or make sure I understood the comment around the distribution sales out and your sales into distribution. Let me get that number right. I think you said sales to end customers, so that's sales out of distribution, were down 15%, but your sales into distribution were down 25%. Did I hear that correctly? 
Philip Franklin: That's exactly correct. 
Anthony Kure: Okay. And then if I look at the midpoint of your first quarter guidance, implies about 14.5% op margins from about, what -- 12.8% in the fourth quarter. So is it fair to say that the biggest driver for the uplift in margins will be electronics with the other 2 segments holding steady? Or maybe you can talk about sort of how the margin improvement is playing out among the segments for the first quarter? 
Philip Franklin: Yes. I would say that's going to be the biggest driver. It's going to be a -- ramp-up in production rates were very, very low in the fourth quarter. I mean, not only were sales low, but we took about $7 million out of inventory as well during the quarter. So we would expect production rates to improve, which should help the margins in the first quarter and that'll be largely coming from the Electronics business. 
Anthony Kure: Okay. And then from a sales perspective, do you expect sales to be down again still in the first quarter? Or see an uptick from the fourth quarter levels? I'm talking sequentially. 
Philip Franklin: Sequentially, well, the guidance we gave would imply a modest increase in sales from Q4 to Q1. 
Anthony Kure: Right. And so even in electronics, it should increase? 
Philip Franklin: Oh, in electronics, yes. I mean, in electronics, we should have some uplift. I mean, typically, first quarter is a pretty good quarter for Automotive as well. They would generally have a stronger Q1 than Q4. But Electronics, we also expect modest improvements in sales in the Electronics business. 
Anthony Kure: Okay. And then could you just remind us how much you have left on the share repurchase that expires at the end of April? And it doesn't look like you bought any shares in the fourth quarter. Could you just confirm that? 
Philip Franklin: No. We did not buy any shares in the fourth quarter. And just remind you that we do -- we have a lot of cash on the balance sheet. Obviously, we're looking at acquisitions -- is our first and best use of that cash, but also, most of that cash right now is overseas. So part of the consideration in buying back stock at this point is we'd have to probably borrow most of that off the revolver and we want to make sure that we keep our powder dry for some good acquisitions that we think could happen over the next 6 to 9 months. On the stock repurchase program, I think we have a -- we added another 0.5 million shares back last quarter to the 1 million that we had previously and I think we had purchased around and between 800,000 and 900,000 off that, so we have a little over 600,000 on the authorization at the moment. 
Anthony Kure: And that expires end of April, is that correct? 
Philip Franklin: Yes. 
Anthony Kure: And then just a last question. Just given all the discussion around the different markets and the opportunities for the year. Do you still -- it sounds like, I mean, correct me if I'm wrong, but it sounds like electrical still has the best chance of being the fastest grower among your 3 segments in 2012. Would you say that's about right? 
Philip Franklin: I think that's very true, Tony. The -- particularly, the strength of the mining opportunities that I talked about, the Protection Relay and the custom business has got tremendous momentum and we have pretty good visibility into a lot of those long-term capital investment programs in the mining area. And as I mentioned, we're really still gaining momentum in international markets. A lot of it in -- the North America position is very strong, but really getting our own resources more into places like South America and Australia and Asia that we are very confident that we're going to have a very strong year again in that segment. 
Operator: [Operator Instructions] Your next question comes from the line of Alek Gasiel with Barrington. 
Alek Gasiel: I know you guys went through extensive detail, but just kind of give us a summary of looking out in fiscal '12 between -- are we assuming Electrical, mid-double digits; Automotive, single to mid-digits; and electronics, kind of flat to up single digits or low single digits? 
Philip Franklin: Yes, that's -- I mean, we -- probably if you're going to take a stab at it at this point, those would be reasonable assumptions. I mean, it would be continuing on kind of trends that we've seen recently in the automotive and electrical business. And as we said, we expect some recovery in the Electronics business, but we most likely will be in negative territory for the first half of the year and we'll have -- if that business is going to grow for the year, it'll have to -- we'll have to make that up in the second half. 
Alek Gasiel: Okay. And then in the Automotive segment, you mentioned that Europe, you expect to be down 3%. Is Europe -- is that correct to say it's like 45% of your sales in auto is from Europe? 
Gordon Hunter: Yes. And just to clarify, what I said is the J.D. Power, that's the research company, have stated at the moment that given the concerns about Europe, that they expect to see car production down about 3%. We're not stating our own business necessarily down directly in line. We've got a lot of new programs, a lot of design wins, but it's -- obviously, we are impacted by global car production as we saw in the big downturn. And their projections of about -- I think it's 5.5% for growth there this year is slightly down from where they originally where. They did break that out into regions and they're concerned about Europe. And that -- I think that news changes everyday depending on the Greek crisis and getting resolution there. And I do feel that we have -- we were very concerned a year ago about production volumes in Europe, and it did not turn out to be negative. It did not turn out to be anywhere near as bad as was possible. And a lot of that was driven by exports of cars from Europe. So cars produced in Europe, but exported particularly to places like China and Russia and the Middle East. So I think that that's a pessimistic view from J.D. Power. We've got very good penetration. It is about 45%, or was about 45% of our passenger car business, but as we see the big bounce back in North America, and obviously, the very solid growth in China, that percentage is probably a little less than that. But we're still very bullish about the business we have there. 
Philip Franklin: Also, we'll be likely be fighting a bit of a headwind from a weaker euro in Europe as well. So with car build down and the euro weaker, and then we'll have some offset from some of the good new programs that we have there, but that will be tough to grow that business much in 2012, I think. 
Alek Gasiel: Okay. And then just to touch on the solar business. What was revenue for 2011? 
Philip Franklin: It would've been in the neighborhood of about $6 million, so down from 2010's revenue. I think it was between $7.5 million and $8 million. We think likely that we'll grow that business at least 50% in 2012. 
Alek Gasiel: Is that just going to be coming from the U.S., Asia? Or is there going to -- is Europe going to be part of that recovery? 
Philip Franklin: It's -- probably most of it will be coming from the U.S. and Asia. Europe can't be much worse than it was in 2011, so we may get a little bit of help there. But I think that the confidence that we have in terms of growth opportunities, there's some big programs in the U.S. and we also have some Asian programs as well that would help us drive that. 
Operator: There are no further questions at this time. And with no further questions, I would like to turn the conference back over to Mr. Gordon Hunter for further remarks. 
Gordon Hunter: Well, thank you for joining us in today's call and for your questions and comments. We believe 2012 is off to a good start and we're looking forward to building on all that we have accomplished over the past year. And as always, we appreciate your interest to Littelfuse and your support. Have a great day. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect and have a great day.